Operator: Ladies and gentlemen, thank you standing by. Welcome to the PAA and PAGP Third Quarter Results. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session instructions will be given at that time. [Operator Instructions]. As a reminder, this conference is being recorded. I’d now like to turn the conference over to, Ryan Smith, Director of Investor Relations. Please go ahead.
Ryan Smith: Thanks, Linda. Good morning, and welcome to Plains All American Pipeline’s third quarter 2015 results conference call. The slide presentation for today’s call is available under the Investor Relations section of our website at www.plainsallamerican.com. During today’s call, we will provide forward-looking comments on PAA’s outlook for the future. Important factors which could cause actual results to differ materially are included in our latest filings with the SEC. Today’s presentation will also include references to non-GAAP financial measures, such as adjusted EBITDA. A reconciliation of these non-GAAP financial measures to the most comparable GAAP financial measures can be found under the financial information tab of the Investor Relations section of our website. Today’s presentation will also include selected financial information of Plains GP Holdings, or PAGP. We do not intend to cover PAGP’s results separately from PAA’s. Instead, we have included the schedules in the Appendix to the slide presentation for today’s call that contain PAGP’s specific information. Today’s call will be chaired by Greg Armstrong, Chairman and CEO. Also participating in the call are Harry Pefanis, President and COO; and Al Swanson, Executive Vice President and CFO. In addition to these gentlemen and, myself we’ll have several other members of our senior management team present and available for the question-and-answer session. With that, I’ll turn the call over to Greg.
Greg Armstrong: Thanks, Ryan. Good morning, and welcome to today’s call. Yesterday PAA reported adjusted EBITDA for the third quarter of $497 million which was $17 million of mid-point of our third quarter guidance range. Slide 3, contains comparisons of various performance metrics to the same quarter of last year as well as our third quarter 2015 guidance. As noted on slide 4, this is the 55th consecutive quarter PAA has delivered results in line with or above its quarterly guidance and is also indicated on slide 4 for the third quarter of 2015 PAA’s distribution of $0.70 per limited partner unit and $2.80 on an annualized basis and will be paid next week and represents a 6.1% increase over PAA’s distribution paid in the same quarter last year. PAGP declared its quarterly distribution of $0.231 which represent a 21% increase over the quarterly distribution paid in the same quarter of last year and 1% to 1.8% increase over the distribution paid last quarter. PAA increased its distribution 44 in the last 46 quarters and consecutively in each of the last 25. While we had this slide on the screen, I would also note this slide illustrates that the overall growth PAA’s quarterly EBITDA over the last 14 years has not been linear and is impacted by both seasonal and cyclical influences. During our second quarter call in early August, we provided our views on industry conditions for the crude oil Midstream sector. The conditions we discussed over the balance revisions to our 2015 adjusted EBITDA guidance and PAA’s 2015 distribution growth target. These adjustments were based on our view of potential future impacts on PAA’s margins and volume capture related to reduced volume growth or production declines in certain areas as well as increased competition for the marginal barrels associated with excess takeaway capacity and the market implications and over-commitments associated with Shipper’s Bay contracts. On balance, these issues impacted our third quarter results generally as we expected. However, as Harry will discuss, they’re currently trending to be greater than expected in fourth quarter. In my closing comments, I’ll address the impacts of refinements to our outlook on PAA’s guidance for the balance of ‘15 and also what that means directly for 2016. With that, I’ll turn the call over to Harry to discuss our operating performance for the quarter and our ongoing activities.
Harry Pefanis: Thanks, Greg. During my portion of the call, I’ll review our third quarter operating results compared to the mid-point of our guidance and discuss the operational assumptions used to generate our fourth quarter guidance. And provide a brief update on our 2015 capital program. Overall, third quarter was in-line with expectations with above guidance performance in the facilities and Supply & Logistics segment offsetting below guidance performance in the Transportation segment. As shown on slide 5, adjusted segment profit for the Transportation segment was $253 million or approximately $19 million blow the mid-point of our guidance. Our volumes were up over 4.5 million barrels per day in the third quarter that were approximately 235,000 barrels a day below our guidance. Our crude oil pipeline volumes were approximately 190,000 barrels per day, lower than anticipated with most of the shortfall occurring in the Permian Basin. Our gathering volumes in the Permian were lower primarily due to several pipeline segments, Delaware Basin being placed into service later in the quarter than anticipated. We also had lower than expected receipts from third party pipeline carriers. Our Permian Basin mainland pipeline was lower than anticipated volumes due to unplanned downtime at a connecting carrier, lower than anticipated pump-over for third party carriers and slightly lower volumes on the BridgeTex systems. Adjusted segment profit was $0.61 per barrel and was in-line with our guidance. But it reflects the positive impact of lower operating expenses onset by foreign exchange rate that were unfavorable compared to guidance. Our adjusted segment profit for the facility segment was $148 million which was approximately $17 million above the mid-point of our guidance. Volumes of 126 million barrels of oil equivalent were in-line with our guidance, adjusted segment profit of $0.39 per barrel was $0.04 per barrels above the mid-point of our guidance due to lower than anticipated operating expenses. And I’ll note that a portion of the operating expenses were timing related and are expected to be incurred in the fourth quarter. Adjusted segment profit for the Supply & Logistics segment was $95 million or approximately $18 million above the mid-point of our guidance. Volumes of 1.1 million barrels per day were in line with our guidance. Adjusted segment profit was $0.92 or $0.16 above our guidance. The higher than anticipated adjusted segment profit was in essence of netting of better than expected results from our NGL sales business partially offset by lower than expected results from our lease gathering business. I’ll note that a portion of the favorable NGL sales results were related to inventory pricing which is the timing related matter and will impact the fourth quarter results relative to our previously provided guidance. Let me now move to slide 6 and review the operational assumptions used to generate the fourth quarter 2015 guidance we furnished yesterday. For Transportation segment, we expect volumes to average approximately 4.7 million barrels per day, which is an increase of approximately 195,000 barrels per day for the third quarter. However approximately 200,000 barrels per day lower than we previously expected for the fourth quarter. The lower volume expectations are a combination of several factors. First, we expect gathering volumes to be lower than previously forecasted and those volumes are spread out fairly equally between the Permian, the Eagle Ford and the Mid-Continent areas. We’re also expecting volumes on a couple joint venture pipelines as we did not operate to be lower, particularly the BridgeTex and White Cliffs Systems. We’ve set a couple of our refinery supply pipelines to have lower volumes due to turnarounds. And lastly in the Permian Basin, we’re forecasting well receipts from a couple of our connecting carriers. Adjusted segment profit per barrel is expected to be $0.63 per barrel or $0.02 per barrel higher than the third quarter as volumes are increasing for higher tier lines. But this was partially offset by lower values for our pipeline loss allowance volumes and lower Canadian Dollar. The fourth quarter volume increase is driven by recently completed project in the Delaware Basin and the continued to ramp up of our Cactus Pipeline, partially offset by lower volumes Mid-Continent pipelines. For our Facility segment, we expect an average capacity of 128 million barrels of oil equivalent per month this is an increase of 2 million barrels from the third quarter. Adjusted segment profit per barrel is expected to be $0.36 or $0.03 per barrel lower than the third quarter. The volume increase is primarily attributable to placing into service and additional 1.2 million barrels storage capacity at our Cushing terminal and additional 1 million barrels Sarnia facility in Canada. Segment profit per barrel is expected to decrease primarily due to lower utilization of our facilities and the timing of certain expenses previously expected to be incurred in the third quarter. I’ll note that it’s compared to our previous guidance rail utilization is expected to have the greatest impact on this segment. For our Supply & Logistics segment, we expect volumes average approximately 1.2 million barrels per day or about 80,000 barrels per day higher than volumes realized in the third quarter. Adjusted segment profit per barrel is expected to be $1.64 or $0.72 per barrel higher than the third quarter. The anticipated volume and segment profit per barrel increased and the third quarter reflects the seasonal impact of our NGL sales volumes, partially offset by slight decrease on our lease gathering volumes. As for our 2015, expansion capital program, we’re still forecasting a $2.2 billion capital program for 2015. We’ve placed a number of assets into service in both the Delaware Basin and in the Eagle Ford in the third quarter, which have been discussed in detail on previous calls. The bulk of the spend in the fourth quarter relates to longer lead-time projects such as our Cushing and Longview, Caddo and Diamond pipelines and our Fort Saskatchewan expansion projects. All these projects are progressing as anticipated. I also want to provide a quick update on a couple of other matters. First, you may have seen, Shell recently announced that they have cancelled plans to develop the Carmon Creek project in Canada. As a result, our Indigo pipeline project was cancelled and Shell will reimburse as for the costs incurred to date. As this was 2019-2020 Project it really doesn’t have any impact on our near-term outlook. And then, secondly, the item I wanted to discuss was Valero. They have an option to acquire our 50% interest on our Diamond pipeline. And we’re currently in discussions with Valero regarding potential for them to exercise their option prior to the end of 2015. A summary update of the overall 2015 program and targeted in-service dates, as illustrated on slide 7 and 8 respectively. And lastly, we expect maintenance capital to be in the $200 million to $220 million range for the year. So, with that, I’ll turn the call over to Al.
Al Swanson: Thanks, Harry. During my portion of the call, I will review our financing activities, capitalization and liquidity. PAA ended the third quarter with a solid financial position and investment grade credit ratings, over $3 billion of liquidity and well positions managed through a period of challenging industry conditions. This positioning was reinforced in August when we completed a $1 billion offering of 4.65%, 10-year senior unsecured endeavors. As we communicated in prior calls, based on our cautious near-term industry outlook, in March 2015, we completed a $1.1 billion overnight equity offering in order to fund the vast majority of PAA’s equity needs associated with our 2015 capital program. As a result, we have not issued any units our continuous operating programs since early January. Greg will provide comments on our 2016 capital plan in his closing comments but I will note that while we will need to raise equity in 2016 to fund our capital program, the total equity capital requirement is expected to be less than the 2015 equity funding levels. Given the current environment, we are considering a number of different options to supplement or reduce the need for our continuous equity program during 2016. Slide 9, illustrates PAA’s capitalization liquidity at the end of the third quarter. PAA had long-term debt to capitalization ratio of 55%, a long-term debt to adjusted EBITDA ratio of 4.5 times and $3.1 billion of committed liquidity. Our long-term debt to adjusted EBITDA ratio is above the high-end of our target range and will, likely, and likely will be in the near-term as a result of the challenging environment where we are in the current industry cycle and the impact of our ongoing capital program. We expect this leverage ratio will improve and return to our targeted levels as the industry recovers. And we realize the EBITDA growth from our recent capital investments. We remain steadfast in our commitment to maintaining the capital structure and credit profile that is consistent with our mid-to-upper BBB credit ratings. With that, I will turn the call back over to Greg.
Greg Armstrong: Thanks Al. On balance PAA delivered operating financial results in line with the slightly ahead of third quarter adjusted EBITDA guidance. But as summarized on slide 10, we’re forecasting mid-point adjusted EBITDA of $595 million and $2.2 billion for the fourth quarter and full year of 2015 respectively. Although the fourth quarter guidance is about 20% higher than our third quarter performance, it is projected to fall short of initial expectations. The full-year mid-point guidance level of $2.2 billion for 2015 is $75 million or about 3% below the 2.275 billion gallons that we have previously provided. As discussed in both our June 4 Investor Day in New York and also on our August 5, Earnings Conference Call, we are constructed to bullish on the intermediate and long-term outlook for crude oil prices, activity levels and Plains’ future prospects. However, we continue to remain highly cautious with respect to the near term. Last quarter, we attempted to incorporate that cautious outlook into our guidance for 2015 and also our directional guidance outlook for 2016. However, the current operating environment appears to be developing to the more challenging environment for PAA than we expected, which required further recalibration for the balance of 2015. To be very clear, our comments regarding PAA include our assessment of the macro-environment for crude oil as well as PAA’s position in each of the regions that we operate. Plains, is very crude-centric and has one of the largest footprints in the crude oil space in the U.S. and to a lesser extent Canada. Our comments are not intended to be a blanket obviously about the operating conditions for other midstream entities, regions that we do not operate or natural gas conditions. With at least one notable exception, our historical practice has been to provide preliminary shadow guidance on adjusted EBITDA, DCF and distributions for the upcoming year and our November call, which is generally followed by detailed guidance in February during the year-end earnings conference call. In the 8-K, we furnished yesterday, we did not comment on 2016. In addition to the carryover impact of competition for marginal barrels on unit margins, there are multitudes of factors that will impact PAA’s 2016 operating results, including capital spending levels by upstream companies with which we currently have limited visibility. The guidance we typically provide incorporates information from a variety of sources regarding development drilling plans, including direct and indirect conversations with producers. However, present for 2016, we do not feel like we have sufficient clarity as to how much producers are going to spend or how they’re going to allocate capital among the regions. As a result, we believe it’s prudent before providing preliminary shadow guidance for 2016 and any detailed commentary on our future outlook until our February conference call, at which point we expect to have better information and clarity on our anticipated 2016 performance and future outlook. Again to be clear, we’re still looking for adjusted EBITDA growth in 2016 above 2015 levels and even more meaningful growth in 2017, but given the information that we currently don’t have and these current market dynamics, we’re not in position at this time to provide more precise expectations. Our decision to defer providing additional guidance is directionally consistent with the approach we took in November 2008 when for a variety of similar reasons, we did not provide forward guidance on our November conference call. I can’t provide some directional guidance on our preliminary capital plans for 2016. As we discussed at our June 15, Investor Day, we have a large portfolio of expansion capital projects that we believe will be required to meet the long-term needs of both the upstream and downstream sectors. In the absence of substantially lower crude oil prices and associated reduction activity levels and production expectations, we would have anticipated 2016’s capital program would be comparable in size and relative composition to our 2015 capital program. However, given the near-term uncertainty and higher cost to capital in the current environment, we’re taking a number of actions to meaningfully reduce the size of our 2016 capital program. Importantly, the projects impacted by these reductions will have a relatively modest impact on their adjusted EBITDA contributions for 2016 and 2017. These actions include deferring certain projects, working with existing and potential partners to modify existing capital projects. Additionally, we are looking at our current asset portfolio we’ll consider selective asset divestitures or trades where the assets are not considered strategic. Selectively, these efforts are designed to reduce the amount of both equity in debt capital we need to raise during 2016 in the capital markets increase risk adjusted returns on invested capital and increased focus on our core assets that are strategic to our future growth. We plan to provide more specifics on our February 2016 call where we currently expect our 2016 capital program will be approximately 25% to 30% lower than our $2.2 billion 2015 capital program. I would also like to note that we believe the expected near-term uncertainty will lead to some commercial opportunities for diversified midstream players such as Plains. We have one of the largest and most integrated crude oil transportation and terminalling networks within the midstream crude oil space. In response to the changing market conditions, we’ll be aggressively focused in identifying and capitalizing on commercial optimization opportunities that arise out of the uncertain market environment and our available to us because of our integrated system. In addition, without jeopardizing our long-term growth prospects or the poor relationship we share with our vendors, we also expect cost reductions and supplier efficiencies that we right-size our capital program, consider selected divestitures and otherwise adjust our business to efficiently operate in the challenging environment that we expect over the course of the next 12 to 15 months. Let me now focus in on a couple of other items. As expected, distribution for the coverage for the third quarter on a standalone basis was below 1.1 coming in at approximately 0.8 to 1, which is partly due to the inherent seasonality of our NGL business and the fact that we’re in a transition period with several significant capital projects expected to ramp-up EBITDA over the next two years. For the first nine months of the year, distribution coverage was just below 0.88 to 1, and based on our guidance for the fourth quarter it’s expected to be 0.94 to 1. That’s based on the midpoint. Based on our outlook for challenging industry conditions and competitive dynamics over the next 12 to 15 months, its clear 2016 would be a challenging year for PAA. Looking beyond the next 12 to 15 months, given our fundamentals based view on production growth, we would expect meaningful cash flow contributions from the completion of approximately $3 billion to $4 billion of transportation and facilities related capital projects, as well as an overall ramp up of activity associated with the expected market recovery. Big picture, many of the larger exploration production companies are significantly reducing their international and deepwater spending and increasing their focus on the U.S. Additionally, many of the mid-to-smaller sized operators are poised to ramp up activity and production as oil prices recover. While unutilized capacity within PAA’s Transportation Facility Systems, is a drag on near-term results, as we see a return to rise in production levels that becomes a high-impact benefit to Plains. As a result, during 2017, we expect to see improvement in our distribution coverage toward our minimum targeted distribution coverage of 105% to 110%, which will pave the way for distribution growth and a return to our leverage metric consistent with our targeted range of 3.5 to 4 times. And then finally more favorable market conditions for the Supply & Logistics segment. PAA is a very crude-centric midstream entity and being long-capacity and an extended down-cycle for crude oil is challenging. However, as slide 11 illustrates, this is not Plains Rodeo. Plains has an extensive strategically allocated and integrated network of assets, an experienced management team and proven business model that has performed well through a number of industry cycles and will do so through the current cycle. We thank you for participating in today’s call and for your investment in PAA and PAGP. We look forward to updating you on our fourth quarter earnings call in February of 2016. Linda, we’re now ready for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Gabe Moreen from Bank of America. Please go ahead.
Gabe Moreen: Hi, good morning guys. Couple of questions for me. One is, can you, I know you don’t ordinarily call out crude by rail in terms of what’s embedded in your quarter from a financial contribution standpoint. But can you give us a sense of what is in your quarter now for crude by rail, did something change over the last three months with crude by rail in terms of what was embedded in expectations? I guess, I’m looking to calibrate whether thing can get even worse from here on crude by rail, what’s for, versus what’s in your expectations?
Harry Pefanis: So, we have minimal volumes in our crude by rail that we forecasted for the fourth quarter. It’s I think most of what we have forecasted in contracted capacity, third party contracted capacity.
Greg Armstrong: Gabe, as you probably saw on the 8-K, I think we had originally forecasted load-unload volumes of about 290,000 barrels a day, I think we lowered that to 185,000. And I think as Harry mentioned most of that is supported by commitments.
Gabe Moreen: And Harry, how far do that 185,000 ballpark to limits and go from a timing perspective?
Harry Pefanis: With current commitments, Gabe I don’t have any information really about their current commitments.
Gabe Moreen: Okay. Switching gears, you kind of mentioned the leverage metrics, the commitment to investment grade at PAA. But can you talk about sort of PAGP and potential debt capacity there, clearly you’ve seen some other MLPs supportive of their underlying MLP’s equity needs by taking on additional data to GP level, do you think you have additional debt capacity at the PAGP level to potentially help PAA from equity needs in ‘16?
Greg Armstrong: I think we’re going to be cautious while trying to give specific direction on what our capital raising efforts, what our - I think it is fair to say that there is roughly $575 million of debt at the general partner. And the distribution is about $600 million. So it’s about a one-turn. So, Gabe, there is certainly leverage capacity there. Let me just stop there at that and just say, we’re certainly aware of what others have done and we’re now looking to review what’s been done but what could be done. So, but I think you have identified a resource there.
Gabe Moreen: Understood, thanks Greg. And then, last question from me is, just I guess, I understand you’re trying to get signal to confidence in the long-term outlook. With the sequential distribution increase that just occurred in that you just announced. But can you talk about I guess the decision to increase the distribution I guess, how much, was that a debate internally and what you’re trying to signal with that?
Greg Armstrong: Clearly I think what we’re trying to say going in the last call and we follow through on was, we needed the lower expectations for growth. We also didn’t want to, it was a modest increase, in relative terms, I think it was $0.02 or $0.50 or $0.25. So, we lowered it Gabe and yet continue to have an increase so that we build our commitment if you will to the market to raise the distribution we set out at the beginning of the year. And then we basically said we’re not quite sure we’re ready to comment on 2016 and we’re still not. So, it was more a follow-through. And in big terms it wasn’t a major increase in the overall burden on the partnership. Clearly if we had known everything at the beginning of the year that we know now, we would have picked a different target.
Gabe Moreen: Understood. Thanks Greg.
Greg Armstrong: Thank you, Gabe.
Operator: Your next question comes from the line of Jeremy Tonet from JPMorgan. Please go ahead.
Jeremy Tonet: Good morning.
Greg Armstrong: Good morning, Jeremy.
Jeremy Tonet: Greg, I was just wondering if you could refresh us as far as your current thinking, as far as how the crude oil market might be recovering and when you see the timing of that bottoming out fits more mid ‘16, later ‘16 or any thoughts or color there would be great.
Greg Armstrong: We’re wrestling right now with the impacts of the changes that we have seen. But our belief on the bigger picture and we’re little bit hesitant Jeremy, I got that to our last conference call, I got schooled a little bit on people telling us, they just didn’t care about our views. But I think from a macro standpoint, we’re still second half, latter part of the second half of ‘16, first part of ‘17, I could give you the very elongated 35-slide presentation. But on our views on the macro we think actually the supply-demand balance is probably going to be achieved in mid-’16, that’s to say the marginal production equals the marginal demand. And you might ask then, why wouldn’t we expect the rally to happen then? We’re candidly carrying just a ton of inventory in not only in U.S. but also a little bit primarily the U.S. And we’re probably right now about little over 100 million barrels of inventory above last year’s level which, and last year’s level was pretty consistent with what you might call norm, little elevated but call it the new norm. And so, if you simply say how long does it take to get 103 million barrels out of inventory, back down closer to normal? If you spread that over 365 days, that’s 275,000 barrels a day. So even if production rolls over, we think you’re going to have a little bit of an extension to where after you’ve come in to supply and demand balance at the margin, you got to take care of the inventory situation. We’re not believers that you have to see inventory get all the back down to normal before you start to see price response, but you need to see that you can get there.
Jeremy Tonet: Great. Thanks for that. And I think you might not want to tip your hand too much there, but I figure I just want to check as far as the different alternative equity sources, be it, preferred equity or mandatory convertibles. Is everything on the tables for, as far as alternative equity for next year? Or can you give us any color on gives and takes between the different sources in your mind?
Greg Armstrong: A couple of things I would note. I mean, obviously we pre-funded a lot of, substantially all of the 2015. And so, we’re really looking at ‘16, and as I mentioned we’re going to be lowering the relative spend by 25% to 30%. So, next year’s capital needs will be meaningfully less than 2015. As far as the options from the table, there is, a lot of options, I don’t know I’d say all options on the table, but I’m not sure all means. But I’d all reasonable options are on the table. We’re certainly aware and monitoring what others, are doing. And I think Gabe identified in his comments earlier today, I mean, we have a couple of options that maybe some don’t have because we’ve kept very low leverage at the GP level, really a one-term of leverage there. And so, overall, I think we’ve got a few more options than you might otherwise anticipate. I would not want to get into any specifics at this point in time, other than to say again, the need is going to be less than what it was in ‘15 overall. And that we have lot of tools in the toolbox.
Harry Pefanis: And Jeremy, as Greg mentioned in his prepared comments, yes, we also are looking at select asset divestitures of non-core assets. That would reduce equity requirements.
Jeremy Tonet: Great, that makes sense. And then, just one last one from me, it seems like the topic Dejour is the GPLP collapse in the space. And I’m just wondering, if you guys could just kind of share your thoughts as far as when and if that would ever make sense for you guys or any other strategic combinations?
Greg Armstrong: I would say we’re, you should know that we’re as management and as the members of the board and the GP owners, a huge alignment of interest with respect to always doing the right thing for the equity holders for both the LPs and the GPs. And because we have roughly 62% of the GP held in private hands that are serving the board, those are pretty easy conversations to have to explore potential alternatives. If we’d had this discussion two years ago, we probably would not have put some of the options on the table, but you’d have to look at realistically in the current environment. So we’re monitoring what is going on in the market with and how transactions are being perceived. Clearly, in the current cost to capital environment, the GP burden is incrementally more negative on our cost of capital at the margin than it would have been a couple of years ago. So, when if you look back, even one of the assumption was we would grow the distribution 20% whether you want to look at that as three years of 7% or two years of 10%, our weighted average cost to capital was in the 7.5% to 8% range. And the general partner burden on that was probably all about 2%, 2.5%. So, it was meaningful but it wasn’t really when stacking it up two halves. Today, and I realize there has been some price activity in the market today but entering today, that weighted average cost to capital is probably closer to 10.5% and the general partner is about 350 basis points of that. So, it certainly weighs heavier on demand in this type of environment that it did before. And having to lower cost to capital is important, having a very competitive positive capital is critical. So, I’d say, we’re open to looking at alternatives today that might not have been on the table two years ago, would not want to signal any strong leaning one way or the other at this point, it’s still pretty early in the game.
Jeremy Tonet: Great. Thanks for that color.
Greg Armstrong: Thank you, Jeremy.
Operator: Next we’ll go to the line of Michael Blum with Wells Fargo. Please go ahead.
Michael Blum: Thanks, good morning everyone. I think most of my questions were addressed. Just one I wanted to ask, in the past you’ve talked about the Supply & Logistics business kind of on a kind of ratable basis, be able to generate, I think it was around the $500 million per year EBITDA kind of in a “normalized market”. Is that still a good statement or do you think that number has moved down given kind of where we are in the market?
Greg Armstrong: Michael, I think it’s a great question. There is, probably two answers to it, one I can answer and one that we’re working on the answer. I think, we think longer term again in the absence of some of the issues that I think are transitory, yes we felt pretty good about the $500 million, to be clear we actually said it’s really in the $500 million to $550 million with a midpoint of $525 million. I don’t think anything has changed or intermediate to long-term conviction about that. What we’re certainly seeing is, and what I call this transitionary period where you’ve got a lot of capacity coming on. And in many cases, shippers that are over-committed on versus the volumes they actually control, we’re seeing a lot of pressure on those margins that push that down to the $500 million and we believe it actually, it would be somewhat below that in the near term. We don’t think that’s a permanent issue, we think it’s a transitory issue. So as far as trying to calibrate that for you, I can’t do it at this time. We’re certainly working on them. Obviously we have a lot of data, we’re just trying to make sure that before we come out with our 2016 numbers, which we will address that question obviously, very clearly on the February call that we have the best information and area able to share with you exactly so you can follow our logic and how we got there.
Michael Blum: Great. Thanks that was very helpful. Thanks Greg.
Greg Armstrong: Thank you.
Operator: Next we’ll go to the line of Shneur Gershuni with UBS. Please go ahead.
Shneur Gershuni: Hi, good morning guys. My question on the taken has been answered. But kind of following up on what clubs you have in the bag. If you sort of think about it, the distribution itself or retain DCF is kind of your lowest cost of capital option. Is it fair to conclude, given your equity needs, given the challenging environment that we’ll probably not see any growth in the distribution in 2016 for the sake of prudence?
Harry Pefanis: First off, I’ll just let you know for you and the Gulf analogy we’re not going to limit ourselves to 14 clubs in the bag. So we’ve got a lot of options available to us and we don’t want to try to conform to any expectation there. But I think all I’m prepared to say at this point in time, and in our prepared remarks we said 2016 is going to be challenging. We introduced the concept on the last call that certainly holding it flat was a consideration. We haven’t taken that consideration off the table. And all we can say at this point time, because again until we actually give you some numbers that you can put it in context, I don’t think it would be particularly fair or relevant to try and then draw conclusions from. So, we stopped in our prepared remarks after much debate about simply saying that let’s say 2016 is going to be challenging. We know what tools we have available to us, we just want to be able to quantify what’s going forward.
Shneur Gershuni: Okay. And an operational question, I was wondering if you can expand on your prepared remarks with respect to the transportation segments margin. Is this is a function of contracts falling off, you sort of expect things to improve in 2016, is it a mix of new projects coming online that are lower margin. I was wondering if you can sort of give us some colors to how we should think about that margin as it progress over time? Or is this part of the challenging environment that you highlighted?
Harry Pefanis: I think the, per barrel results were in line with the, with our guidance. The tick-down, I think is slightly in the fourth quarter is mainly due to a little bit of OpEx shift and little bit from the Canadian dollar. But we’re not, most of our historic volumes, common carrier lines, no commitments, that’s really the newer projects that have the commitment. So those ramp up, the tariffs are actually probably higher on the newer volumes
Greg Armstrong: Yes, to be clear, in the Transportation segment, the pressure really is, and you saw it in the volume adjustment that we made for the fourth quarter, it’s more of a volume issue. The margin per barrel will move around based upon the actual mix. So if you fall short little bit in volumes and higher tariff barrels then it’s going to change that number and vice versa in the lower. But as Harry said most of our committed barrels that we built for projects have the higher tariff on there. So, it’s really a volume mix on the Transportation side. Where we see the word pressure on margins is more on the Supply & Logistics area. And then to a lesser extent, some of the activities in the facilities side of it, where frac spreads and other elements factor into it.
Harry Pefanis: So, I’d say, one thing to think about Transportation segment is, we put a lot of new pipe into service in the Delaware Basin. We completely debottlenecked it. And we have a tremendous amount of capacity. So I think we’re extremely well positioned as production expands in Delaware Basin. We should capture our pressure not more of the volume, increase in that area. So, embedded in our Transportation segment, a lot of capacity upside is as that part of the basin ramps up. So, Greg mentioned earlier to try and recalibrate what we think production expectations would be.
Greg Armstrong: What we are seeing and I mentioned it in my prepared comments is, and again, this is in the macro a little bit but we’ve drilled it down to our particular regions. And it’s unfortunately, it falls in the intermediate to longer-term range, intermediate being most likely 18 months out or thereabout, is, we’re seeing a lot more emphasis on, lot less emphasis on international and deepwater focus from some of the big guys and a much bigger focus in on trying to move onshore and to participate in Shale Play. So, when you actually listen to several of the calls and we were trying to collect as much information both through direct conversations and indirectly through the same avenues everybody else does, which is on conference calls and other public statements. It looks like there is a huge focus on the volume uplift and certainly we know the resources there and the technology there. So, again, that’s why it’s pretty easy to be confident in the intermediate to longer-term. And as Harry said, we’ve got a lot of excess capacity. We’re certainly overbuilt right now, we got unused capacity and we got capital spend and not revenue. So, it’s dragging on the aggregate results. But longer term, we won’t have to spend much capital and we get a lot of big uplift out of it.
Shneur Gershuni: Great. And one last final question. Over time fixed cost tends to become variable. A year into the challenging market that we’re right now, have you identified any opportunities to really trim down your OpEx and your SG&A. And could that be some of the partial offset as we look forward into next year?
Greg Armstrong: I think you put your finger on exactly what’s in the discussion right now. And yet hasn’t been quantified enough to be able to be filtered into the guidance that we can share with you but certainly we’ll be, by the time we get to the February call. But absolutely, I mean, we’re right at literally, if you think about it Thanksgiving would be the one-year anniversary if you will of the start of the great precipitous drop. And we’re trying to challenge those very issues, what type of schedules they need to maintain given the outlook and what can we do to repackage the services that we provide to the producers so that we give them the top services but we still do it for a cost that allows us to make an even better return than we’re going to make if we don’t change. So, I’d say, stay tuned and that will be certainly one of the things that we’ll address in the February call as to trying to quantify that for you. And it should be net positive add relative to the negatives we’re seeing, or I’d say net positive, it will be a positive offset partial at least to some of the negatives we’re seeing on the margin that haven’t yet been filtered into the margin pressure we’ve got.
Shneur Gershuni: Great. Thank you very much. Thanks for the color.
Greg Armstrong: Thank you.
Operator: Next we’ll go to the line of Faisel Khan with Citigroup. Please go ahead.
Faisel Khan: Thanks, good morning. I just wanted to understand a little bit in terms of what information did you, do you have today versus what you had in the second quarter that caused you guys to take your fourth quarter guidance down, I guess EBITDA guidance down by about 13%. So, will the new information that you were able to get that you didn’t have back then that you have to because the promise is that, with the GP down 20% I mean, it looks like things are compressing faster than people thought and you thought. So that’s the concern in the market that sort of why people are seemed to be focused around that you had margins which are down versus your previous guidance?
Greg Armstrong: Yes, and clearly we feel the same pain when the market is down. I mean, we’re never happy to deliver less than stellar results. We’re obviously Faisel, a very crude-centric company, one of the most, crude centric in, one of the most challenging markets. But to answer your question, I think if you go back to our Investor Day that we had at the beginning of June, there we used the terms highly cautious and we flagged a couple of issues that we thought, that were going to cause increased competition because of capacity. I think what has happened over, since really the June until the August meeting, which if you think about that as roughly about a two-month period, and then now we’ve added another three months on to it. We’re trying to calibrate that, we took a shot at it in the second quarter results calls that was held on August date I think. And we missed it. The bottom line is, the competition from these incremental capacities that’s out there and as well as the impacts of shipper pay where the shippers have shortfalls in the volumes they control is distorted. Some of the conventional relationships of basis differentials and to some extent has actually resulted in just severe competition that we, it was higher magnitude than what we really anticipated. And so, we’re not only competing for the barrel at the gathering level to pick it up, but then we get to choose which pipeline that it goes on. If you go back and read the words carefully, it will be posted in the script, we going forward are going to be taking a very aggressive approach to protect our market share if you will. And we have more tools we think than normal, but that doesn’t mean we’re not going to impact margins. So, it’s really the culmination of we gave it what we thought was a very good shot in the August guidance that we provided for the fourth quarter and third quarter, we hit the third quarter numbers in general but we’re still seeing a lot of competition. So, we’ve tried to really make sure we calibrate it to the best of our ability and it’s just been the cumulative effect of that. Harry, you have anything to add?
Harry Pefanis: Yes, I mean, couple of things. We had some delays in covenant service based on supply you just can’t make that up in the year. As Greg said earlier, we still have lot of confidence long-term in those pipes, in the areas that we’re located. And when you look at the oil price probably little lower than we forecasted, that impacts our pipeline loss allowance volumes. And then, a couple of areas we just had a little bit of lower of the high-end than anticipated, little, little steeper declines in Mid-Continent and maybe the Eagle Ford than we had thought about in August. And when you compound that with some of the ship or pay or take or pay commitments, that sort of exacerbates the some of the differentials there. So, those are impacts that, those are items that impact the fourth quarter or the year that weren’t embedded into our guidance in August.
Greg Armstrong: But I would also say, some of the inventory builds that started to have better contango opportunities really didn’t develop until late. So you won’t see much of that until the first part of 2016. So, all that will be factored into the numbers that we provide in February. But more reason for us not to want to try to take another shot at something with less than the level of information we needed to give you a really good feel for 2016. And then rail too was another driver, is that the sort of differentials out of North Dakota area, really prevents volumes from moving on rail. A lot of that is driven by commitments.
Faisel Khan: So, the question that comes, in the margins, the here margins that we see now in your fourth quarter guidance, as you’ve thrown everything in the kitchen sink at it, or could there be some sort of other sort of ball that drops in the quarter. That’s what we’re trying to understand here, is that, did you guys throw everything at that fourth quarter number and, or could we still see something, is there something that could be unexpected that comes out of here?
Harry Pefanis: One of the biggest fluctuations could occur in our NGL business. It’s seasonal, we give our best guess of what we think NGL volumes would be in the quarter, fourth quarter versus first quarter. But obviously whether that can drive, whether those earnings are in the fourth quarter, the first quarter. But if you look at that six-month period, there is not, no, we don’t see risk in that.
Greg Armstrong: Yes, Faisel, if I can break your question down a little bit, it would, in any year, especially this year but any year it would never be a good thing to take a given quarter’s margin and assume that’s the base level because of the seasonality that affects, first, second and third and fourth quarter, especially in, first and fourth quarters are your higher margins, the third and fourth quarters are your lower on those basis. And then, as Harry mentioned, for example, in our NGL business the customers have to pull out of inventory and from whether we bought from them and offset with contracts they have to pull it out by the end of the heating season. But they don’t necessarily had to pull it out in the fourth quarter. So, we have to make an estimate whether it’s going to be fourth quarter or first quarter. So there is some, and that will affect unit margins as well as the volume. So, but to answer your question, we don’t, I mean, we pretty much try to tell you everything that we know, we don’t know of any other balls that would drop or we would have said it. What we’re trying to do is, give you the best calculation and yes, we got a constructive comment from one of our director before we got on the call, we said, we’re not going to provide guidance for ‘16. He said, just make sure you let them know whether we’re saying it can go up or down from ‘15. And so, we added the comment in the script that we still expect growth in ‘16 and even more manageable growth in ‘17. We’re just trying to give you the best guess to quantify that for 2016. And we just need more data, and we’re going to get that between now and the call.
Faisel Khan: Okay. Last question from me, Diamond pipeline, so, if Valero exercises their option, does that mean that they, because you’ve already spent all of the capital on the pipeline, is there some sort of payment that comes back to you or how does that work?
Greg Armstrong: Well, no, I mean, that pipeline, we haven’t started construction in terms of actually laying pipe. We’ve been buying right away and everything else, so we’ve incurred some cost and there would be some reimbursement of our cent cost, it would just reduce our future capital going forward in ‘16. And I think we actually still into ‘17.
Faisel Khan: Okay.
Greg Armstrong: Okay. Yes, they would reimburse us for the cost we’ve had to-date plus a paring cost. So, they, yes, they’d be 50-50 heads-up basis, but they would be caught up. It’s $900 billion project in total.
Faisel Khan: Got it. Thank you.
Greg Armstrong: Thank you.
Operator: Next we’ll go to the line of John Edwards with Credit Suisse. Please go ahead.
John Edwards: Yes. Good morning, everybody. Most of my questions have been asked, but just the one that was on my mind, I’m just wondering and you touched on this, Greg. The margins in S&L, the Supply & Logistics, I mean in a declining environment and you’re mentioning there is some overcommitted shippers relative to volume they control, I mean how do you see that playing out over the next year or so?
Greg Armstrong: Well, I mean that’s what we’re trying to actually put our arms around pretty tightly. I mean, effectively John and I know you’ve followed the company for a long time, so you may have to dust off your memories, but we can go back to some discussions we had in the early 2000s. We’ve dealt with situation where we’ve had overcapacity before and one of the unique aspects of PAA is I say unique, certainly one of the distinguishing aspects of PAA’s business model is, we engage in the margin functions, so we can actually buy barrels and on a consolidated basis move it, pick which pipelines it goes on. My earlier comments about being a little bit more aggressive in this environment and also monitoring our cost real closely is, we think we’ll be able to capture some barrels and retain some barrels, maybe a better way to say it, that you do not otherwise would expect would have been pulled away. And so, we’re not really going back to the kind of, type of market that we saw in the early 2000s through most of the mid 2000s. As somebody asked the other day, said, what, how is the market going to react when you’ve got all this excess capacity out there. And the answer is, up until 2010 we had excess capacity throughout the entire system. So we’re used to dealing with it, we just need to basically adjust on things to be able to be as aggressive as we should be and we will do so. As far as incrementally, it varies by particular counterparty as to whether you can compete against some of these guys, where they’ve got huge, if they’ve got a $5 ship-or-pay tariff and you’re going to have trouble if they’re willing to lose $2 at the wellhead to buy that barrel, so they can ship against their tariff and net that loss down to three barrels, if they don’t otherwise have the barrel. So, we’re trying to dial that in, we’ve got a pretty good, better handle today than we did three months ago on just what those comments are out there, because nobody actually discloses those as publicly as we’d like for them to, but you have a way of finding that. So we’ll that information when we get to the February call. But I think for that reason, we expect to see some of our gathering margins get under pressure as we try to retain and acquire barrels for our pipeline system that is why, I think that it’s transitory, but that’s why I think the baseline level of $500 million may be pierced during 2016.
John Edwards: All right. That’s super helpful. Thanks. My other questions have been asked. Thank you very much.
Greg Armstrong: Thank you, John.
Operator: Next we’ll go to the line Jeff Birnbaum with Wunderlich. Please go ahead.
Jeff Birnbaum: Hey. Good morning, everyone. Thanks for all the color this morning. Most of my questions have been asked and answered as well, so just one quick one from me. I understand you’re kind of obviously somewhat reluctant to talk too much about financing or the use of the GP balance sheet next year. So, maybe just ask both in sort of a slightly different way I guess. There is, a number of owners obviously of PAGP including parties with capital available and certainly expertise managing assets. So to what extent are you considering or discussing whether that’s in addition to or even instead of alternative high cost equity sources, partnering with some of those existing owners of Plains to help drive growth and accretion at the LP level?
Greg Armstrong: Gabe, I think, your first interpretation was correct. We’re hesitant to get into much in the way of detail there. I would hart it back and I was somewhat tongue in cheek with my analogy, but we haven’t limited ourselves to 14 clubs in the bag, and that’s certainly a club that we would think would be available, obviously you have to line it up against short-term and long-term objectives and you’re going to try and balance all that against what the cost is. So, I think, just now that our whiteboard is filled with a lot of different alternatives right now.
Jeff Birnbaum: Okay. Thanks, guys.
Greg Armstrong: Thank you.
Operator: Next we’ll go to the line of Sunil Sibal with Seaport Global Securities. Please go ahead.
Sunil Sibal: Hi. Good morning, guys.
Greg Armstrong: Good morning, Sunil.
Greg Armstrong: Most of my questions have been answered, but I just wanted to get your take on the industry environment. Clearly I think what you are facing is not just particular to you guys. And I was wondering, what’s your sense of how the industry is kind of reacting to this environment, clearly there has been some infrastructure capacity overgrowth in many of the areas. Do you, when you talk to your other counterparts in the space, get the sense that the industry as a whole is kind of coming together to be more rational in terms of adding more capacity, especially in some of the basins?
Greg Armstrong: And again, I want to just reference my prior comments in August that kind of got me a little bit chastised for appearing as if I was speaking on behalf of anybody other than PAA, so all of our comments today have been limited to PAA and specifically to our view of the crude oil market as it affects us. I think, there’s still of lot of capital out there, not so much from the public market, Sunil, today, but in private hands and at one point there was estimates of anywhere from 80 to 100 private equity backed management groups that were looking for midstream opportunities that can be both in the form of acquisitions as well as construction. So I think the answer is region-by-region there is a bit of a different answer. I think, there is some discussions, and I don’t think it’s inappropriate about some, longer-term some bigger pipeline commitments, but I think that’s reflective of the long-term enthusiasm that the large producers have for the resource base and again what gives us rise for a fairly constructive, but not flat out bullish intermediate to long-term view. As far as in the near-term I don’t know that there is going to be anything incremental that’s going to affect 2016 or early 2017 in terms of incremental construction. So it’s really a longer-term issue than a shorter-term issue. Harry, anything on that?
Harry Pefanis: No, I think that’s right, there is still some longer term projects that are being developed, those are based on longer-term fundamentals.
Greg Armstrong: But there is no, bottlenecks or anything from the major locations right now that require incremental pipe that’s not already in process. There is certainly some debottlenecking within the extremities and so for example the Delaware basin, et cetera, whereas we’re extending out that place, extending out, we’ve built additional pipelines that then connect to our pipelines that get us to markets. But as far as from like a Midland or from the Niobrara or from the Bakken or the Eagle Ford there is more than adequate takeaway capacity from those areas right now. We don’t know of any big projects out there in the near-term horizon. That’s not to say in the two-year to three-year horizon, you might not probably see some come up. But there’s yet no, nothing other than what’s been announced.
Sunil Sibal: Okay. That’s very helpful, and thanks for the color, guys.
Greg Armstrong: Thank you.
Operator: Next we’ll go to the line of Timm Schneider with Evercore. Please go ahead.
Timm Schneider: Hi, good morning. I was just wondering if you could maybe quantify for us just in the quarter and then I have a follow-up. What reduction on the volumes was tied to timing versus a fundamental decline in kind of production versus cannibalization from some of the other pipelines?
Greg Armstrong: That was for the fourth quarter?
Timm Schneider: Yes, for Q3 and Q4, if you have it.
Greg Armstrong: All right, probably easier to talk about Q3.
Al Swanson: Three quarters timing.
Greg Armstrong: Yes, three, probably three quarters of it was timing related? On the shortfall in third quarter, on the, some of that carried over from the fourth quarter, but I’d say most of the fourth quarter heritage is really going to be the latter, the other issues. Yes, the fourth quarter is, if you take the 200,000 barrels that was lower than we had originally forecasted, it’s probably a third to 40% of that is just probably volume-related within the areas, and that’s probably equally split between the Eagle Ford, the Permian and Mid-Continent. In some of the Mid-Continent areas, some of those barrels were hedged to pipes. So it’s a little, the impact to us is more than maybe the volume reduction in the area.
Harry Pefanis: So one barrel of production depletion would cost us two tariff barrels through our system, because it may have moved from pipe A to pipe B, each of which has its independent tariff, and so you count those barrels based on a tariff barrel.
Greg Armstrong: Yes. Probably, another quarter of it is just timing on a couple of turnarounds on some supply pipelines and then maybe another 10% or 15% is buying from third parties that we thought would deliver to us, that don’t deliver to us.
Timm Schneider: Got it. And I mean, if you look at, kind of if you look, the Permian specifically, you got hit with a bunch of expansions over the last couple quarters. Can you look ahead, I mean, you had Permian Express II that came on this quarter. But the next big one isn’t till second half of ‘17. So do you guys think that we’ll actually see the rates of the cannibalization decline over next couple of quarters or is there still a descent, I guess, descent room to go on or not?
Al Swanson: Most of our volume in the Permian is on our gathering systems, and so it’s really going to be sort of the pace development in the Permian. If that make sense?
Greg Armstrong: But we think the Permian is probably going to be one of the more resilient areas for maintaining, if not growing production even during that time period. So I think the answer to your question is, at this point in time is, yes, in the Permian area, it’s not so much a given answer in some of the other areas where you’re seeing some declines and you still have people scrambling at the margin per barrels.
Harry Pefanis: Yes. I also should chime in that, about 10% of the volume decline also relates to some of our Canadian assets. The dynamics in Canada are more of a rate based. So volume declines usually trigger some type of rate change as well. So it’s not always one to one, but we do have the capacity in Canada to recover some of the volume declines through rates.
Timm Schneider: And then a last follow-up for me is on the strategic side. So obviously, the rollups have been a theme of the MLP into the GP. If you go the other ways or GP into MLP given that the GP is owned by, I think you said 60%, 65% private, can you just give us maybe what the, what are the steps here, is that just a vote across the private owners or how would that, just hypothetically speaking, work?
Greg Armstrong: I mean, once you’ve got a public entity, it’s more complicated and there are no simple one vote and you’re out kind of deal. I think our structure and as I alluded to earlier, it gives us a few more options that probably weren’t available to some that have already occurred, and so, beyond other than saying that we’re looking and analyzing what would be in the best interests of both PAA and PAGP’s holders long-term really wouldn’t be appropriate to comment beyond that.
Timm Schneider: All right. Thanks for your time. Thank you.
Greg Armstrong: Thank you.
Operator: Next, we’ll go to the line of Ross Payne with Wells Fargo. Please go ahead.
Ross Payne: How are you doing guys? I know you touched on it a little bit earlier, but if you can speak to how you’re going to manage your rail fleet in light of lower demand? And second of all Greg, you kind of alluded to getting back to more normalized leverage metrics, I know it’s somewhat preliminary, but can you speak to your expectations on when that might happen? Thanks.
Greg Armstrong: Yes. Just I’ll try to reiterate kind of what I intended to say in the prepared remarks. Again ‘16 is going to be challenging, ‘17, we expect to see one of the projects that we have coming on-stream that many of which are committed. So we know they’re going to bring incremental EBITDA and we think we have a feel that it’s going to be additive, obviously there is an underlying business that’s certainly being challenged right now. And so the best way for us to de-lever is simply raise EBITDA. And again we’re carrying, Ross, a lot of projects, I think we estimate in the $3 billion to $4 billion range, that’s either on our balance sheet or included in what the people expect us to put on our balance sheet, that’s not yet contributing full EBITDA. So, you would expect that to be a major contributor to any type of de-leveraging. We’ll continue to fund our capital program prudently. We generally used 55% equity and 45% debt and we’re pushing down next year’s capital needs 25% to 30% is what our current thinking is right now, and obviously that’s going to change as we get through our full budgeting process. So, I would say, again ‘16 is going to be challenging; ‘17, we said, during 2017 we expect a lot of things to happen, one of which is the approaching and returning to the credit metric range that we like to have of 3.5 times to 4 times. And then also other factors that we talked about that we think will also, ‘17 is kind of a critical year, and on the first question, Harry?
Harry Pefanis: Yes. So, on rail, we leased most of the railcars that we have, they’re on fixed turns they’re sort of on a ladder basis. So, every year we have railcars rolling off, the way we manage is by not renewing railcars. So we’ll carry some railcars this year that won’t be fully utilized in 2016, but the remarketing of that is pretty saturated right now already, so I’m not sure there’s a whole lot of upside in remarketing, but the real answer is, we just scale back rail each year.
Greg Armstrong: And then, we’ve got some rail facilities that we’re opening up in Canada. So we’re able to redirect some of our railcars back from an area that probably no longer needs railcars in certain areas of the Bakken, certainly don’t need as many to areas in Canada that are going to need it as their production rises, and they’re looking for other avenues to get crude volumes as a whole into the U.S. and in some areas particular crude oil volumes to a particular market. And I think our forecast for Canada volumes overall is they’re going to rise about 200,000 barrels a day of production next year. So clearly, that’s going to, obviously part of the reason why we’re constructing some of the rail terminals up there, but we are able to move the cars around.
Ross Payne: All right, great. Thanks guys.
Greg Armstrong: Thank you, Ross.
Operator: Next we’ll go to the line of Gabe Moreen with Bank of America. Please go ahead.
Greg Armstrong: Gabe, you there?
Unidentified Analyst: Hi, how it’s going. This is Ben on Gabe’s team, just a quick question. Kind of given your footprint along the Gulf Coast and in St. James, has the increase in waterborne crude imports had an impact on your business?
Greg Armstrong: The increase in waterborne imports, I would say most of the waterborne imports have been actually coming into the - if you look at East Coast and Houston area, the Gulf Coast there.
Unidentified Analyst: Yes.
Greg Armstrong: Yes, no. Our business in St. James is pretty constant. We have a full dock there. It’s probably one of the, it’s an asset that’s highly utilized. So as imports ship, we have the opportunity to capture more volume at St. James, but it’s a pretty full terminal to start with.
Unidentified Analyst: All right, great. Thanks guys.
Operator: Next we’ll go to the line of Selman Akyol with Stifel. Please go ahead.
Selman Akyol: That was actually pretty good. Good morning.
Greg Armstrong: Good morning, Selman.
Selman Akyol: So a couple of quick questions, one is sort of a micro, one is more of a macro. First of all, Greg, you had talked about the remaining competitive. So, I’m just kind of curious, are you guys offering price concessions on gathering and transportation or are you guys receiving requests by producers for concessions?
Greg Armstrong: Yes. I think and there was actually recently an article on Reuters where they published, I think we lowered tariffs on six pipelines.
Al Swanson: Yes. So, some of them were tied to, some of the tariff restructuring were tied to transactions where we had committed volumes and we had established rate structures. So we had incentive rate structure. Some in the Mid-Continent area would just be a little bit more competitive and in areas where we thought we had some competition. And then, that’s really the two categories that the rate restructuring falls into, but yes, we have restructured rates in some areas.
Selman Akyol: Can we expect more of that as we go into 2016?
Harry Pefanis: I think we reserve the right to do whatever makes sense to be able to optimize the cash flows. I would, Selman, if you recall, we did that pretty aggressively in the early 2000s, especially in 2004 I think after we bought we went in and tried to make sure that we had to balance the best. We’re not quite like Saudi Arabia, but we try to figure out what’s the best balance of providing a service and at the premium price, but a quality service at a lower price with more volume. And so we’ll look for those areas in just about every part of our asset base. And we think that’s going to be a major competitive advantage for Plains over the long-term as we work through this next 12 months to 15 months.
Selman Akyol: Got it.
Greg Armstrong: When you think about some of those lower rates, they are associated with new volumes that have been committed to the system, so.
Selman Akyol: Okay. Thanks. And then this is more of a macro question. But you’ve referenced overcapacity several times, so I’m just wondering if U.S. production peaked at 9.6 million barrels a day, and today we’re probably closer to 9 million barrels a day. Where does the U.S. really have to be in order to better balance supply and transportation demand?
Greg Armstrong: That’s a tough question. If you look at the Bakken alone, there is probably 1 million barrels a day of rail capacity, that’s not being used. So part of the capacity, I mean, if you think of it this way, if you were one-to-one with production versus pipeline, right, that’s not nearly enough. You need a lot of excess because your markets change. The refinery goes down, that’s in that region you have to have a way to get excess capacity. So you need some excess capacity above the normal operating levels just to be adequately supplied. What’s happened is I mean there’s just a huge investment in all of these areas, and rail was a major carrier out of the Bakken because it was the quickest and the cheapest in terms of construction but the most expensive to move a marginal barrel on a variable basis. The trade-off was is that a lot of pipelines have now been built. So, I mean, again if you just, you almost have to take it area by area, and in some areas like in the Permian, for example, we’ve got a lot of excess capacity there today on a takeaway. But it’s probably going to be one of the areas that everybody expects to be kind of last rig down, first rig is up to be able to go ahead and fill those pipes, which is part of the exciting part of that our view of really the intermediate to longer term. So we’ve got a lot of excess capacity we may able to build in there, and so it really, it’s going to find its equilibrium in each region and probably you’re going to have to margin push out rail and trucks where you can anytime for a pipeline. Having said that, what we’ve also seen is sometimes the cheapest transportation cost if it takes you to the worst market is not the one that you want to use. And we think the markets are going to go back to kind of a shifting dynamic here over the next 18 months.
Selman Akyol: All right. Thank you.
Operator: Next we’ll go to the line of James Carreker with U.S. Capital Advisors. Please go ahead.
James Carreker: Thank you. I just was wondering if you guys would comment on given your desire to limit your capital needs. How does that affect kind of M&A plans going forward?
Greg Armstrong: Obviously any M&A transaction is based on its unique merits. I don’t think it takes us out of the game. We certainly need to and it’s a relative cost to capital issue. I think we look at who our competitors are. So, we’ve got several areas that we think acquisition makes sense. We’ve always found that there is, appropriately priced and adequate levels of capital for really good transactions on acquisition. So, James, we wouldn’t use that to say we’re not in the acquisition game. We’re more trying to, because acquisitions, the great thing about, and they generally come with instant cash flow. What we’re really talking about James is the projects that have two and three year lead times, where you’re spending capital for cash flow that might not show up for 24 to 36 months. In this type of environment where we can’t defer those without cannibalizing our business platform, we’re certainly in the business of doing. And that’s what we were referring to earlier. And in some cases we’ve used in the past tools working with other parties to say you’ve got to commit, we’ve got commit, let’s build the pipeline together instead of two separate pipelines. So, there are some things that we think we have the ability to do because of our platform. But we don’t think it takes us out of the acquisition game at all.
James Carreker: And then, in that M&A vein, is there any, I know it’s always asked but what are you guys seeing on the private side in terms of bid asked spreads and valuations, certainly the public markers have come down. But what are you seeing on the private side?
Greg Armstrong: Aggressive thought but we haven’t really had many transactions to be able to measure that. I think as you know, people throw big hats in the ring and then try to substitute their smaller hat for once they get included in the process. But there is lot of private equity capital out there. So, I think they’re looking for a place to put it to work. But at the end of the day, it has to make economic sense, where we think we stand out a little bit. Obviously we think our cost to capital is going to be higher than it certainly has been. But we also have synergies and in this environment synergy should matter much-much more than they did when you were competing against the marginal public capital where you didn’t have to have any synergies to had have access to cheap capital. So, and I don’t think I’d put private equity in the cheap capital category.
James Carreker: Sure. I appreciate the color. Thank you.
Operator: Next we’ll go to the line of Charles Marshall with Capital One. Please go ahead.
Charles Marshall: Yes, good morning everybody.
Greg Armstrong: Good morning, Chuck.
Al Swanson: Good morning, Chuck.
Charles Marshall: Going out on a limb here, but in terms of your possible asset divestitures into ‘16 to offset capital needs. Can you kind of discuss what type of assets you’re looking to consider as maybe non-core, and if you’re currently marketing a sale of any assets at this point?
Greg Armstrong: We wouldn’t probably care to comment on either of those right now. But yes, I appreciate other than that fact, we’re open to the concept. Clearly, if we’ve got some non-core assets that don’t fit, and at that, avoiding using that capital instead of raising incremental equity or debt to capital makes sense, that’s certainly something that we’re capable of making logical decision on that. But as far as kind of identify which assets and what process we have is no, we’ve just seen that come in.
Charles Marshall: Okay, got it. And then, just in terms of waterborne cargoes this quarter versus some volume moves national segment. Can you describe that barrel movement there and if you expect any further volumes going into ‘16?
Al Swanson: I’m sorry I didn’t understand your question.
Charles Marshall: There were waterborne cargoes or some volumes?
Al Swanson: Those are opportunistic. I think every once in a while we find opportunities for waterborne cargoes. It’s just an opportunistic environment.
Greg Armstrong: It was extremely, I think it was more around in what came through the data.
Charles Marshall: Got it.
Al Swanson: So, I think that may have been these questions somebody asked earlier too, I thought it was, I thought the question wasn’t water-borne in general.
Charles Marshall: Got it. And just lastly from me, for maintenance capital for 2016, can you kind of give us a good guidance number for where you expect sustaining capital would be for next year?
Harry Pefanis: Yes, we probably wouldn’t expect it to be materially different than what we have right now. I think we’re running 200,000 to 220,000 is kind of the range. Having said that, I mean, obviously we’re in the budgeting process and we haven’t gotten that far. So if it’s 195,000 or 235,000, I’m not going to feel too bad about that. But I don’t think it’s a meaningful shift.
Charles Marshall: Okay. That’s it from me. Thanks guys.
Greg Armstrong: Thank you, Chuck.
Operator: All right. And next we’ll go to the line of Ganesh Jois with Goldman Sachs. Please go ahead.
Ganesh Jois: Yes, thanks. All of my questions have been answered.
Greg Armstrong: Thanks Ganesh.
Operator: That was the last question.
Greg Armstrong: Well, we’ve been on the phone here for quite a while. We just wanted to make sure that we took all questions that came in. We appreciate your support. We certainly regret that any guidance that we provide has an impact on the equity price that’s negative. But I’m going to assure you, we’re working hard to basically put forth the best results and do the best things for the shareholders. Thank you very much.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.